Operator: Good day ladies and gentlemen. Thank you for standing by. Welcome to the CSG Systems fourth quarter conference call. During today's presentation all parties will be in a listen-only mode. Following the presentation the conference will be open for questions. (Operator Instructions). This conference is being recorded today, Tuesday January 26, 2010. I would now like to turn the conference over to our host Liz Bauer. Please go ahead ma'am.
Liz Bauer: Thank you Jeremy and thanks everyone on the call for joining us. Today's discussion will contain a number of forward-looking statements. In particular these will include statements regarding our projected financial results, our ability to meet our client's needs through our product services and performance and our ability to successfully integrate and manage acquired businesses, in order to achieve their expected strategic operating and financial goal. While these statements their best current judgment, they are subject to risks and uncertainties that could cause our actual results to differ materially. Please note that these forward-looking statements reflect our opinions only as of the date of this call. And we undertake no obligation to revise or publicly release any revisions to these forward-looking statements in light of new information or future events. In addition to factors noted during this call, a more comprehensive discussion of our risk factors can be found in today's press release as well as in our most recently filed 10-K and 10-Q, which are all available in the Investor Relations section of our website. Also, we will discuss certain financial information that is not prepared in accordance with GAAP. We use this non-GAAP information in our internal analysis, in order to exclude significant items that may have a disproportionate affect in a particular period. Accordingly, we believe isolating the effects of such an event enables us as well as investors to consistently analyze the critical components of our operating results and to have meaningful comparisons to prior periods. For more information regarding the use of our non-GAAP financial measures, we refer you to today's earnings release on our website which will also be furnished to the SEC and Form 8-K. With me today on the phone are Peter Kalan, our CEO and Randy Wiese, our CFO. I would now like to turn the call over to Peter.
Peter Kalan: Thank you, Liz and thanks to everyone for joining us on the call today. I am pleased to report that CSG continues to execute well posting fourth quarter revenues of $128 million and non-GAAP EPS of $0.40 per share. For the full year, total revenues were $501 million, and non-GAAP EPS was $1.64 per share. Our 2009 results demonstrates the strength of our solutions, client relationships and business model. This year, we generated over a $150 million in cash flows, invested over 14% of our revenues in research and development, extended our relationship with our second largest client DISH Networks and increased our market share in the cable space. These results reinforced CSG's commitment to creating shareholder value. 2009 was not a year in which we retreated in the face of IT budgets being cut. We believe that our value proposition as a company providing highly scalable fully integrated outsource solutions that maximize and monetize every customer interaction, allows our clients to successfully execute on their business objectives. Moving market share and securing long-term relationships in this ever changing market is not easy in a business environment in which decisions have been put on hold. However, our focus and commitment to doing what is right for our clients like continuing to invest in our people, R&D, and capital expenditures continue to pay off. For 2010, just like 2009, we are committed to creating shareholder value by growing revenues profits and cash flows, and we plan to achieve this by executing on three strategies. First, we'll expand what we do for our clients as the leading provider of customer interaction management solutions to North American communication providers. Second, we plan to grow our relationships with the providers in vertical markets where we already have relationships. And finally, we will improve the profitability of our business. Let me give you an update as how we are performing on each of these three strategies. On November 30th, we announced that we extended our relationship with Dish Networks through December 31, 2012 for billing services and through December 31st 2014 for print and mail services. In addition, the new agreement includes an option to extend the billing services contract for three more years through 2015 and migrate to our next generation ACP platform which currently supports CSG's other 34 million customer accounts today. We believe that this option provides Dish with the greatest opportunity to achieve its long-term objectives as its business continues to grow and evolve. This extension provides visibility into an important relationship for CSG as there has been a lot of uncertainty, speculation and rumors surrounding our relationship with Dish. We believe that this eliminates a major overhang on the stock. And with this contract extension CSG does not have the major contract up for renewal until December 31, 2012. I am also pleased to report that in the fourth quarter, we converted 2.4 million new customers under our ACP platform. With the most recent conversions the entire charter customer base is now being processed on our next generation customer caring billing platform. During 2009, we converted a total of three million customers under our solutions. And so far we have 400,000 customers to convert onto our system during 2010 and we expect those to be completed by the summer. As everyone in this business knows converting to a new billing system is a highly complex undertaking that involves some risk. Over the years our company has converted approximately 30 million customers on to our solutions. This experience allows us to put the processes in place to ensure for smooth and seamless conversions. However, that processes alone do no guarantee a successful outcome. That is where our people truly do make a difference and I'd like to take this opportunity to thank our people and our clients for their hard work and dedication during these conversions. While our conversions represent pure market share gains, we also continue to increase our footprint within our existing client base with our complimentary products and services. This quarter Time Warner cable signed a contract for a WiMAX solution, enabling them to rollout their WiMAX offering to their customer base. And Comcast signed a contract for a WiMAX and commercial service offerings. For many of our clients commercial service is one of the fastest growing areas of their businesses as they continue to successfully take market share from Telcos with their smaller/medium business offerings. And the roll out of a WiMAX product is an important step for our clients in enabling consumers to get their content on any device at any time. These are significant wins for two reasons. First they validate our strategy of continuing to invest a significant amount of our revenues and R&D even during difficult times. And second, these wins reinforce the value that are solutions bring in helping our client to roll out new revenue generating services. Next let me share with you some recent successes we have had in growing our relationships with the providers and other vertical markets. As you may recall at the end of 2008, we acquired Quaero to help broaden our solutions suite with advance customer intelligence capabilities that help our clients predict customers' behavior and then act upon that information. These capabilities allow our clients to operationalize this information and engage in more timely interactions, no matter what the communications channel whether it'd be text, print, phone or internet based. This quarter our customer intelligence team extended their relationship with a large media company for the third year. We're helping this company to add incremental revenues by providing a more intelligent, relevant and actionable data analysis for ad sales, content development and an improved customer experience with their interactive website. Our efforts are aimed at increasing consumer engagement resulting in increased revenues. Next, our content direct solution continues to be a part of many parts. This solution delivers an operating platform, partner ecosystem and business model that helps our content owners, aggregators, programmers, distributors and advertisers promote and extend their brand, monetize video content in multiple ways across the internet and engage consumers to increasing interactivity and social networks. During the fourth quarter, our content direct team was an important part of the merchandising system for flow TV. QUALCOMM's direct-to-consumer personal TV offering that was launched this past November. Our solution allows users to activate their account, manage their device registration, the services they receive, programming and care features, as well as determine how and when they will pay their bill. As we stated before, working with the content providers, and bringing their brands and content to the online world provides a tremendous opportunity for CSG to apply our customer interaction management solutions and high volume transaction processing experience to this emerging market. We are able to be involved in the ground floor of a large and evolving industry that is sure to shape how consumers receive their content for many years to come. Helping these providers to monetize our customer experience, differentiates CSG from other providers today. Finally, let me share with you some ways in which we continue to focus on improving the profitability of our business. First, we continue to transition many of our complimentary solutions to modular open systems applications that provide our clients with the flexibility that they require while still leveraging the cost structure of having a massively scalable high volume transaction processing engine, handle those functions that do not require real time processing. This rightsizing of our hardware and applications enables our clients to grow, while allowing us to provide them with the optimal cost structure. Today over 50% of our applications are running in an open system environment. Next, we've always had a proven reputation for being strong operators and prudent financial managers. It's a balancing act in particular when you are faced with a business environment that we are operating in, in the last year. While many companies slash their CapEx and R&D spend, we made the decision to continue to invest in our solutions and our operations to position us even stronger for when the economy recovers. We began our migration to a new data center to improve the quality of our infrastructure and reduce our cost. This required a significant financial commitment, the one that we felt was important to provide our clients with the quality of service that they have come to expect from CSG. This is also one of the several components that will allow us to achieve our long term operating margin targets of 18% to 20%. And finally with outsourced solutions, scale was the main driver de-leveraging your cost infrastructure. Our investments and advanced capabilities like electronic bill presentment and payment, interactive messaging and commercial services pay off as our clients add more and more customers to these solutions. As our clients begin to provide their products and services over new devices and channels, our investments and our product catalog, customer analytics and wireless solutions payoff as clients business become more complex and they need a seamless and integrated solution. The net result is that our clients businesses grows, other clients businesses grows, either in sheer size or complexity, we benefit from the investments we've made in these highly scalable and robust offerings. In summary, our 2009 results demonstrate that even in a very difficult business environment our value proposition resonates with service providers looking to maximize and monetize every customer interaction. While we believe that the business climate in 2010 will continue to have its challenges, we are confident that we have the right solutions, people, and business to be successful again. From an investor's standpoint, our story is straight forward. We enter in the year with visibility in the 90% of our revenues, we have no major contracts after renewal until the end of 2012. This business generates strong cash flows which allow the company to be opportunistic, weather that be from an M&A or stock indebt repurchase standpoint. And most importantly, we continue to work everyday to earn the right to do business in some of the largest communication providers in the world. We demonstrated again this year that hardworking commitment pays off with contract expansions, market share gains and an expanding footprint within our clients operations. We at CSG's appreciate your continued support of us and look forward to continuing to deliver results for our clients and shareholders alike. With that, I’d like to turn it over to Randy to review our financial performance for 2009 and our outlook for 2010.
Randy Wiese: Thank you, Peter and Welcome to all of you on the call today. I'm Happy to share with you the financial results for the fourth quarter and full year 2009 as well as our outlook for 2010. Overall, our financial results came in either in line or better than our guidance. We hear that many companies struggle to grow or even maintain revenues. CSG was able to grow our business as a result of our investment and our solution and the quality of the service that we provide our clients. In the midst of a tough economic environment, we continue to invest in our solutions, our people and our client relationships, so that we will be in a position of strength when the business environment improves. Now let's talk about the financial results. Full revenues for the quarter were approximately [$120 million] representing an increase of 3% year-over-year. Revenues for the full year 2009 were approximately $501 million, this represents a 6% increase over 2008, and exceeded a high end of our revenue guidance for the year, approximately one half of this annual revenue growth is a result of organic growth within our existing client base, with the remaining portion due to the timing impact of our 2008 acquisition for Quaero and DataProse. Revenues generated from Comcast and DISH Network were 24% and 18% respectively for both the fourth quarter and full year 2009, relatively consistent with the third quarter percentages. Our non-GAAP operating income for the quarter was $23 million or 17.6% margin, and for the full year 2009 was $90 million on 18% margin, both in line with our guidance. This non-GAAP operating income excludes expenses related to the transition of our data center amounting to approximately $6 million for the quarter and $15.5 million for the full year. As we anticipated, we saw a slight decrease in our fourth quarter operating margin percentage from the third quarter low. As I will discuss in a few minutes, we see margin expansion opportunities during 2010. Our GAAP operating income for the fourth quarter was $16 million, or 13% margin and $75 million for the year or a 15% margin. Our effective income tax rate for the fourth quarter was 35%, inline with expectations. Non-GAAP EPS for the fourth quarter was $0.40, which compares to $0.44 for the same period last year. Non-GAAP EPS for the full year was $1.64, which is inline with the high end of our guidance. This compares to $1.65 for the full year of 2008. Just as a reminder, this non-GAAP EPS measure relates to continued operations only and excludes the expense related to our data center transition efforts, gains and the repurchase of debt securities and the non cash interest expense related to the amortization of the original issued discount for our convertible debt securities. GAAP EPS from 15 year operations for the fourth quarter was $0.24 and $1.22 for the full year. Turning to the balance sheet, as of December 31, cash and short-term investments were $198 million, up $41 million from September 30. This sequential increase can be attributed to strong cash flows generated from operating activities including positive changes in our working capital items, primarily as a result of favorable timing on client payments at year end. Our year-to-date cash flow from operations were $153 million which well exceeded our guidance of $120 million to $125 million. As of the impact of the favorable timing I just mentioned, our full year cash flows would have been inline with our guidance expectation. We spent $6 million on capital expenditures in the fourth quarter bringing our full year total to $40 million. Included in these amounts were CapEx related to our data center transition efforts of $3 million in the quarter and $16 million for the full year, both consistent with our expectations. During the quarter, we did not repurchase any of our convertible debt or outstanding shares, we will continue to evaluate the best use of our capital going forward which may or may not include additional debt and share repurchases. Next I’d like to provide you with our initial full year guidance for 2010. Overall our expectations are consistent with initial planning targets that we provided a few months ago. For the full year 2010 we expect the following, revenues were ranged between $520 million and $530 million which represents growth of 4% to 6% over our 2009 revenue. This gains reflects an acceleration in our organic revenue growth rate from 2009. as we look out to this year, despite the continued uncertain economic environment, we feel confident and continued solid growth in our business reflected by the benefit of the successful subscriber conversions completed in 2009 and continued adoption and use of our advanced customer interaction management solutions. Continuing there on we expect our full year 2010 non-GAAP operating margin percentage to be in the 18% range, the mid 18% range, this represented the 50 basis points improvement over 2009. We expect our non-GAAP operating margin in the first half of 2010 to be comparable to the last half of 2009 and then improve in the second half of 2010 after we complete our data center transition efforts and continue to gain scale in our business and rollout new product functionality. We believe our operating margin exit rate heading into 2011 will demonstrate significant progress towards our long-term goal of sustained 80% to 20% operating margins. Our 2010 non-GAAP operating margin guidance excludes the impact of the data center transition expenses that are currently estimated to be $22 million to $25 million for the full year. This represents an increase over 2009 as we further intensify our efforts leading up to our planned migration in mid 2010. These expense announced are based on the best available estimates at this time, and may fluctuate up or down during the year as we continue executing on our transition plan. The negative impact of these costs on our 2010 GAAP operating margin is estimated to be approximately 450 basis points resulting in the expected GAAP operating income margin in the range of 14% for 2010. Next for our non-GAAP EPS beginning in 2010, we've modified our calculation of non-GAAP EPS. Going forward in addition to excluding the non-cash amortization of the original and issue discount for convertible debt securities and excluding non-recurring items such as our data center transition expenses and the repurchase activities related to our convertible debt securities, the calculation of our non-GAAP EPS will now also exclude the non-cash impact of stock-based compensation and the amortization of acquired intangible assets on a tax-effective per diluted share basis. We expect our non-GAAP EPS for 2010 under this new method to range between $2.05 and $2.13. Using the same methodology the comparable measure for 2009 actual results is $2 per share. We expect our GAAP EPS from continued operations for 2009 to range between $1.13 answer $1.16. Next our expectations, our cash flows from operations are $100 million to $110 million which includes a negative impact of about $30 million related to the cost incurred for data center transition efforts. As CFO, this is one of the things that I love about our company, we have a great business model with highly predictable and recurring revenues which results in strong steady cash flows year after year. Our expectations of capital expenditures for 2010 is in the $15 million range with approximately $3 million of this related to our data center transition efforts. This guidance reflects an effective income tax rate of approximately 35% for 2010, an increase from 2009's full year rate of 34%. At this time we do not assume any significant changes in our guidance for diluted shares outstanding from the level that we experienced in 2009 or in our current capital structure. To summarize, we are pleased with our results for the fourth quarter and full-year of 2009 and look forward to another strong performance in 2010. Our business continues to operate solidly during these challenging times as evidenced by our increasing revenue growth, operational excellence and profitability, strong cash flow's, solid balance sheet and market share wins. We're excited about the positive strides that we are making and believe that we are well positioned to create shareholder value. I will now turn it over to moderator for questions.
Operator: (Operator Instructions) And our first question comes from the line of Ashwin Shirvaikar with Citigroup. Please go ahead.
Ashwin Shirvaikar - Citigroup: Thanks. Hi Peter. Hi Randy. Hey, clearly you guys are doing quite well in your core cable billing business. No question about that, gaining share and so on. But I just wanted to step back and just look at it on full company basis and given your current market position, how do you view your realistic market opportunity. What kind of growth rate can you get to and its quite possible to set the (inaudible) for the core billing as well as all the businesses you've acquired over the last couple of years?
Peter Kalan: Well Ashwin, this is Peter. Just to make sure I understand your question, you are asking is when you look at our business, what type of growth rate should we be striving for based on the market opportunities we have in our traditional market and the growth and the new markets that we are in.
Ashwin Shirvaikar - Citigroup: Right, to me you already have significant share in the core cable space the growth we get there, my understanding is relatively limited so maybe you can get 5%, 6%, 7% growth there. Can you get that consistently and then how can you sort of super charge it by doing more the non-cable side?
Peter Kalan: Well, I think the start from on this Ashwin is that naturally you don’t have the traditional subscriber organic growth in the communication space in North America like you would have 10 years ago when we saw both on the wireless businesses that we are out there as well as just the growth and video penetration and then high speed data on top of it. It’s a market place for a traditional market, that’s really driven by our clients involving businesses in the new types of products that they deliver which still we believe has lots of upside to it, when we think about what’s going on with WiMAX, what’s going on with commercial services, what’s going on with new really business model changes and the types consumption by consumers around products. We think there is growth there. I can tell you that its rocket chip growth because one is our business model is one that grows at a rate consistent with our clients as well as because we get paid our (inaudible) model, you get a different type of growth rate than if you were to you were a pure software model. But in that market, we still believe that there's when we look at it, we still target to get high single digit growth numbers in there, and it depends upon how that market evolves and what happens and market share gains. It could be opportunities to accelerate it, but right now we like participating in that space, and its ones that we continue to seek to get more from our clients both in the footprint that we do it for as well as these, the types of services that we provide for them as well. Now naturally, when we look at markets outside of Cable and DBS, we look for markets where we don't have this much market share whether it's not a dominant provider like CSG is in the Cable space, and we look forward to things that could have higher growth, but we're also looking at trying to grow a smaller base that has to overcome the large base that we have on the cable market. So we think that there is growth on those, but today we don't have the sheer credibility in those spaces like we do it in the Cable space, and those will take longer to build. But that all being said we like our chances in there because we've proven ourselves with our clients to be able to be strong providers of solutions that help our clients solve problems, and that's what we're looking to do in these other vertical markets. so I don't have a number to tell you because we haven’t given long-term growth rate numbers, but when you look at what we're doing in a tough economy and Randy's got us on the guidance showing 6% on the top range, we feel good that there is chances with stronger markets, but this is a business that people should be around.
Ashwin Shirvaikar - Citigroup: Okay, that's a fair answer. I just wanted to dive little bit deeper into the businesses that you acquired and seems as though the performance in those businesses took away a little bit from your cable building, your cable market share gains. Was that cyclical this time to understand it and so should we expect to see a sort of cyclical rebound as well as we had into recovery?
Peter Kalan: I don’t, I think Ashwin you're saying that our growth in our acquired businesses had an impact of reducing the overall growth rate of the company and dissipating what we did on this place in cable and I don’t think that’s true. We had higher growth rates in our acquired businesses than what we did in the cable space. Did those businesses have some challenges just because of the markets they serve and maybe not growing as fast as what we've seen on the telecommunications market that has very significant dynamics going on that’s been able to draw upon our needs. Yeah, we haven’t seen the same type of growth rates that we would have expected but they are higher than what we had out of cable and satellite and ones that we still believe have great promise for us and ones that we continue to support and invest.
Randy Wiese: Ashwin, this is Randy. Just a couple of data points for you. The percentage of revenue generated outside our core cable business in the fourth quarter was about 15% for our total revenues which is up from 13% in Q3. For the full year 2009 its about 15% and it was about 12% last year. So we're seeing some growth there to Peter's point. There is still some good growth there and this is even in a down market. So if the economy turns these are types of businesses that we believe can accelerate their growth as the economy gets better.
Ashwin Shirvaikar - Citigroup: Okay. Well lets leave it at that. Maybe off late I was kind of talking about organic growth. But a couple more questions. One is I wanted to ask you about sort of the fourth quarter cash flow. There was a pull forward I assume from the first quarter right?
Randy Wiese: Well there is some, Ashwin, there is two things. There is probably over $30 million that really timing (inaudible) what I tell him, one it was a large free payment from a client, that’s really a pull forward from several years out, we perceive free payments in the past but this is somewhat unique as very large so there is about $20 million of that and I would say there is probably $10 million of pull forward from 2010.
Ashwin Shirvaikar - Citigroup: So, what does that make your full year 2010 cash flow guidance, I didn’t see that?
Randy Wiese: I had in my comments, so Ashwin it was 100 to 110 and on top of that what the comment I provide is that there is about a $13 million drag on that number for the data center transition, costs that you have to add that back if you try to normalize it. And then if you want to take into consideration some of this timing, you have to also take that at future and normalize it year-over-year.
Ashwin Shirvaikar - Citigroup: Okay so on a normalized basis there is growth in cash flow.
Randy Wiese: And I think historically Ashwin if you look at our cash flows its very predictable from some of the operations portion of the business. There is fluctuation in the working capital because we have large clients in one page earlier late at the quarter and it can cause a significant fluctuation in working capital. But if you look at over a long period of time, the working capital changes for CSG as a company are pretty insignificant and we generally have cash flows from operations that average 150 into 125 range.
Ashwin Shirvaikar - Citigroup: Okay and last question is timing of the data center transition. What's the second half benefit or the annualized benefit from that? Can you talk about this now that you're closer it to it?
Randy Wiese: Well, couple of different things Ashwin, as we do with any material client, with any material client or supplier contract, we are not going to talk about the specific price in the aspects but I will tell you as a data points, I think you can look at. One is that there is going to be both operational benefits and pricing benefits that will win itself toward a operating margin and what I will say is that we are going to probably spend close to $40 million investing in this transition over 2009 to 2010 and I’ll tell you that the benefits that we will get financially over the five year period have a positive return on capital so you can look at it from that perspective. Also in my comments I indicated we have an expansion in margins in the second half of 2010, a large portion of that margin expansion relates to the financial benefits from the data center which are both operational and financial in pricing.
Ashwin Shirvaikar - Citigroup: Okay, great. Sounds like I should look for upside as usual to your estimates.
Peter Kalan: We'll move on to the next question. Operator?
Operator: Thank you, sir. And our next question comes from the line of Tom Roderick with Thomas Wiesel. Please go ahead.
Unidentified Analyst : Hey guys this is Chris Cowen for Tom Roderick. Good job on the quarter. Just a couple of timing or I guess performance versus expectations for the quarter. If you look at the $2.4 million sub migration or conversions that looks pretty speedy there versus what you had originally said about being done by the first half of '10, I guess that still holds relative to your expectations that you happen to convert those guys faster than you had hoped.
Randy Wiese: I'd say that they are pretty much on schedule. We anticipated, we thought, we'd get lot of those done at the first part of Q4 with the remaining amount number that we had in our backlog will take place in the first half of 2010.
Unidentified Analyst : Okay, so that's much pretty much on plan.
Randy Wiese: Yes. You know Chris, one of the things when we do conversion guidance, we're always cautious because the dynamic has to be our operational readiness in conjunction with our client, and so we don't want to get ourselves out beyond just what we think we can do. We have to get in front of what we think the clients are ready to do and so you may find us being giving a broader expectation there than outperforming what you think we can do.
Unidentified Analyst : Okay. It's down completely reasonable. And then on the data center transition cost for 2010, say similar type question there. That 22 to 25, how did that compare against your plan? I don't remember if you guys had provide guidance before as far as what you expected the cost to be in 2010, but that seems like its higher, if my memory serves me correctly. So was there something unexpected there?
Randy Wiese: No, we had not previously provided any insight into 2010. So it's the first time we disclosed it. And it is consistent with my expectation that was in the original business case that we put forth and we made a decision to move. It's accelerating over 2009 mainly for two reasons. One is that the efforts will intensify as we're closer to the migration date. And also, as we get closer to the migration date there may be one or two months of redundant data processing cost that we have to purchase. So that will cause the price to be a little higher, the cost to be a little higher.
Unidentified Analyst : Got it. Okay, that makes sense. And then just to clarify, the question that Ashwin had. As far as the margin goes, you had mentioned earlier that its going to be both operational and data center cost savings rate. So is it fair to assume that in the back half when margins kind of pick up a little bit that there will be a cost benefit and an OpEx benefit?
Randy Wiese: Cost and OpEx maybe a [Multiple Speakers]. The benefits that will come mainly through cost of goods sold, correct.
Unidentified Analyst : Got it. Okay. Just want to make sure. And then as far as 2010 you mentioned Comcast Dish, 24% and 18%. Can you provide any colors as far as what you expect dish to be for 2010 as a percentage of revenues?
Randy Wiese: Haven’t really provided guidance on that but I don’t think we expect it to fluctuate significantly.
Liz Bauer: Well we did provide guidance (inaudible) contract.
Randy Wiese: We did indicate that we expected revenues to be relatively consistent year-over-year from DISH in 2009 and 2010 so you can do the math. The percentage shouldn’t change significantly and you shouldn’t expect it to change significantly for Comcast either.
Operator: And our next question comes from the line of Scott Sutherland with Wedbush Securities. Please go ahead.
Scott Sutherland - Wedbush Securities: The first question I had is in your 4% to 6% growth guidance for next year, the majority is organic or how much of that’s organic growth?
Randy Wiese: That’s all organic Scott. There is no acquisition presumed in that, there is no longer any timing from the past acquisitions. That’s all organic.
Scott Sutherland - Wedbush Securities: You talked about the content provider opportunities out there, if you look at the verticals, that data processing platforms can be applicable to like utility, when is the size of materiality or timing of other vertical opportunity you see out there?
Peter Kalan: The markets will be depended our sizing of the markets will be depended upon the application of our solutions to their business needs and not everything we see of our product offerings have applicability to the markets that we're looking at. So, that could have an impact of how to size it and we're going through that stage right now evaluating the full scope of where we think those opportunities are to exploit but when you look at the sheer size of the utility space and you see the number of consumer accounts and the number of service providers, we see it as a large market place that is going to go through change and with that change, would be a need for new types of systems whether they are how you service the customer over the web, how you interact with them through the different electronic channels or even how you have the AR management in going platforms. The world is going to change in that space as well as what we saw happen in the communications space and is one we think has a great interest for us to see if we can exploit.
Scott Sutherland - Wedbush Securities: You've mentioned in the last question that most of these subs were bought over early in the Q4. I noticed obviously some time of subs you bought over but it looks like pricing has come down per sub little more this quarter and previous quarters. Can you talk about pricing? I know you renewed some contracts and you are gaining share some other customers. Was that from pricing or combination of things versus just timing out there?
Peter Kalan: Scott I'm not sure where you're coming from with the lower price per sub (inaudible) understand how you're coming up with that metric, because that's something we don't disclose.
Scott Sutherland - Wedbush Securities: Right, so I mean, for example, your revenue went up a little bit less in the processing side by 2%. Your subscriber count went up about 6% for this quarter, your subscriber account.
Peter Kalan: Well, one aspect of the subscriber conversions that we went through Scott, was the Charter subscribers we were already doing some of the print and bill present the services for them, and so the incremental revenues that we were going to be getting from Charter were for a lesser scope than maybe incrementally than what we're doing for other clients and so, incremental revenue for sub coming on would be reflective of a smaller number than what you would have seen on average, but I don't think it's reflective of a downward pricing pressure, it's just the components of services that we were delivering, would probably be the biggest piece that you'd see coming through there.
Randy Wiese: Yeah. I think the other Peter is there is a bit of timing. They were not (inaudible) on your first day of the quarter, so there is some timing as well. They come on late, late in one of the months in the quarter, so it's difficult to make that comparison without that information.
Operator: And our next question comes from the line of Shyam Patil with Raymond James. Please go ahead.
Unidentified Analyst : Hi. This is [Vijay] going in for Shyam. I just had a couple of questions. In terms of visibility, you guys mentioned next major contract renewals in 12 December of 12/12, do you think you have any specific color as to what are your contract expiration dates for your three to four largest customers and if you ever had a customer that terminated early?
Peter Kalan: Well the major accounts that we've talked about in the past in several are publicly filed as well as the Comcast contract goes to the end of 2012. The new Dish contract that we just signed goes to the end of 2012. The Time Warner contract goes through…
Randy Wiese: March 2013 and Charter goes through the end of 2014. And on the DISH contract the 2012 is for the processing portion. The print mail goes through the end of 2014.
Peter Kalan: Right. And from a perspective we've never in my 13 years with the company had a major client say they want to discontinue doing services with us and move to some other platform. We've had surprisingly strong retention rates when you look at what happens in other markets and when other service providers do and I think it just really goes to the quality and the level of services of what we provide to our clients.
Randy Wiese: I think the other point that's worth mentioning is that in each of those four contracts there is also some degree of guaranteed payments regardless of whether or not they are processing our systems. So, there is, on everyone one of those, the most recent was the DISH. We announced that there was guaranteed commitments under that contract for the full 2012 time period.
Peter Kalan: Yeah, [Vijay] I think one of the most important things is when you look at the types of services and products that we provide to our clients and how its really embedded in their operations and the strength of what they have to do for their end consumer and then you add to that the quality of the service that we deliver. That’s probably the strongest point for us as we think about the sustainability of this business with those clients and those clients wanting to be a part and partner with us as we go forward.
Unidentified Analyst : And you guys talked a little bit about how Comcast and Time Warner are expanding into WiMAX coverage. Do you think you could talk a little more about your wireless strategies for 2010 and beyond?
Randy Wiese: Well [Vijay], our focus on the near term is, when we see our clients like Comcast and Time Warner really evolve the networks that they're going to deliver their products over. We're going to be in sync and inline with the (inaudible) in the near term. We are not positioning ourselves to try to go out and become the customer interaction management platform and AR management for a singular or AT&T wireless or Verizon, that’s just not where we believe our strength positions but we’ve had great strength in helping our clients as they evolve forward into their business models and their networks that they deliver services over and the types of services they deliver and we've done that through the years and we believe that for some of the next generation providers like a FlowTV that they'll approach the business very differently than what in the traditional distributors and providers in those services would and we think we're well positioned to help them as well with that very different distribution model, especially with a web based offering what they are doing.
Operator: And our next question comes from the line of Karl Keirstead with Kaufman Brothers. Please go ahead.
Karl Keirstead - Kaufman Brothers: Question for Peter, just to get at least me a little more comfortable with the assumed uptick in the organic growth rate in 2010. Can you give us a little bit of color on the demand backdrop you are seeing from the core cable satellite appliances? You may know (inaudible) last week talked about the carriers beginning to pickup somewhat their discretionary IT spend. I’m curious what you are seeing from your client base on the IT and marketing discretionary costs. Thanks.
Peter Kalan: You bet Karl. Without a doubt there is still cautiousness in the marketplace but as evidenced by what we did in fourth quarter which was signing Time Warner and Comcast to use services for their next generation of offerings above business of WiMAX, we think that’s a sign that they continue to invest in their business and position themselves to deepen their relationships with their end customers and build new end customers. And the competitive marketplace that they face is causing them to think about how they prepare themselves for that and we've always been a good partner that allows them to invest as they are successful versus having to take large upfront capital expenditures to try to build something brand new. And so we are seeing demand, but it's still cautious demand. It's got to be things that they know they are going to get near term return on and in those cases where they have that business need and our business model matches that. If we think we've got good opportunities to drive the growth. The other piece that in the nature of our business model (inaudible) is that as we have success in so many things in 2009, exceeds our gross rate for 2010 and as we talked about the sub gross rate, we achieved and brought on at the end of 2009, those 2.4 million subs. Those helped drive 2010 gross rates for us and so we have the benefit of being rewarded for the work that we did in 2009. They turn into revenue units in 2010 which is just the sure nature of this business. You're always planting seeds that you're going to grow into revenue the next year.
Karl Keirstead - Kaufman Brothers: Okay, great and if I can ask a follow-up to Randy. Randy, the hitch you call it 18.5% 2010 non-GAAP margins when the first year you said it's going to approximate the back half of '09 which is about 17.5% and to 18%, it means your second half 2010 non-GAAP operating margins, if my numbers are right are kind of 19% to 19.5% and I would like to ask you as we look out into 2011, is there any reason to believe that that wouldn't be a good starting point for our 2011 non-GAAP margin assumptions that 19% to 19.5%. Thanks.
Randy Wiese: Yeah. I don't think I specifically mentioned the exit rate, but your math makes a lot of sense and I think based upon our business and how the predictable revenues and the predictable cost base is going into 2011. I think some of your analysis sort of makes sense to me.
Peter Kalan: We tried not to get too far out ahead of ourselves in what our projection should be but your math is logical. But we will look for areas that we can invest that could help accelerate the top line growth and the reason we try to stay one year out is that if we see opportunities we'll want to invest in those. So we don’t know what those are today but try to be very smart in the way that we invest and drive returns that elevate the overall business.
Randy Wiese: I agree Peter. I think we've shown even in this most difficult economic environment that we will continue to invest and you should expect that going forward. But your, some of your logic that you put in to your numbers makes sense.
Karl Keirstead - Kaufman Brothers: Okay, maybe I can sneak in a third. You've got almost six bucks a share in cash now and you indicated that during the quarter you didn’t buy debt or stock. Peter maybe just give a recap of your, what you intend to use your cash for in 2010?
Peter Kalan: Absolutely Carl. I guess first I'd just preface is that we see these, the cash balances that we finish the year where there is really reflective of the strength of our business and the cash flow generating capabilities of this business which you referenced. We can, we first of all continue to believe that having a strong balance sheet is important in these times, both because of the economic instability and what that provides is opportunities for us to think about how we invest both from organic investment as well as acquisition and investments because we really do believe first and foremost that we are in a position to grow the opportunities of this business and capabilities in the markets we serve. So first and foremost we are going to look to invest and the acquisitions continue to be a viable means for that forest and we are going to preserve a strong capital base for that. But at the same time we'll look at as a secondary measure as what are the opportunities for us to really give us the best capital structure and whether that means that take advantage of stock repurchases or debt repurchase, we'll do that as well. But first and foremost this growth and the way that we really expand the opportunities of this business from a market and capabilities perspective.
Karl Keirstead: Okay, great thank you.
Operator: Thank you. And our next question comes from the line of Kerry Kelly with Ironworks Capital. Please go ahead.
Kerry Kelly - Ironworks Capital: Thanks for taking the question. For the 2010 differences between GAAP and non-GAAP, could you just break out the EPS impact of the various exclusions?
Liz Bauer: You bet Kerry
Randy Wiese: Again yes, actually its in the press release but I’ll go and give you the (inaudible), that'll be beneficial for you?
Kerry Kelly - Ironworks Capital: Yeah.
Randy Wiese: Yeah, the GAAP EPS was 113 to 116 was the GAAP EPS the reconciling items are, I’ll give you on the high and low range to help yourself here the data center transition expenses are $0.42 on a low $0.47 on high. The amortization of OLP….
Kerry Kelly - Ironworks Capital: I got it there, I see in now in the back, I’m sorry for wasting ones time. Just a follow-up to that, reasoning comments from AT&T management have been really bullish on their IPTV, I don’t know if you have any insight into just sort of what’s happening in the field in the market shift between cable satellite and IPTV and how you guys are going to position yourself to try to capture some IPTV as well? Could you comment on that?
Peter Kalan: Well, we don’t have relationships with AT&T or Verizon either one of those traditional tacos for their IPTV or (inaudible) offerings and I can only comment their strengths from what I have read in the trade rags because I can't give you anything from the proprietary information from our clients. We do know that they are increasing number of absolute subscribers that are buying their service, but there is an equal, probably impact backed by our clients, the traditional Cable and Satellite Operators in driving extended product into the end consumer and then attacking on the business service to go against the traditional Telco. IPTV, we believe has an overall evolution, whether it's going across the traditional line with almost the subscription package like AT&T and Verizon are going to do, and that is traditional Cable Operators provide as well, but IPTV really also elevates and brings forward a way for the content owners to come to market directly and we think we can play in that space with our content direct offering and as you look back and see some of the success we talked about earlier on the call today, what we're doing with Flow TV and others like that are ways for us to plan that IPTV space.
Operator: (Operator Instructions). And our next question comes from the line of (inaudible) with Walt House & Company. Please go ahead.
Unidentified Analyst : Hi. I had a couple of questions. One was on expense expectations in terms of the data center transition, I think we announced that almost six quarters ago, but about four quarters ago, does that expense come in line to where we thought it was and as a whole or has it been a little bit less then I have couple of other ones?
Randy Wiese: No, it's pretty close. I mentioned this earlier that it's pretty close to our initial business keys that we did to substantiate the move, so there has been no surprises.
Unidentified Analyst : Okay. And then on the strategy with the cash flow being cognizant of the fact that we let our revolver expire. We have a convertible that's puttable in June of next year .We're in a net cash position I believe at this time. How do we look at refinancing opportunities and then that being said, how are we looking at share repurchase opportunities given the fact that we have greatly improved our contract outlook at least for the next three years and the fact that in 2007 we were buying the stock very aggressively at prices that are, that were higher than it is right now.
Peter Kalan: Well first of all, I thank you for your summary of the strength of our business. I like the way you said (inaudible). First of all we do believe overall in having a strong capital structure and being in a net cash position effectively with our outstanding debt that we have (inaudible) was down, puts us in a position to be very strategic in the way we think about making sure we build even a stronger capital position as we go forward. I'll let Randy comment about some of the things that he considers. Before he does I would just, when we think back to some of those repurchases that we made probably two years plus ago, that was when we were really redeploying the proceeds from the sale of a division that we had and we didn’t have immediate need for that capital at that point. There was so much capital. We thought it was most prudent to return to the shareholders even at a higher price but Randy I'll let you add on to those.
Randy Wiese: I'd say that I agree. Just to finish that point Peter that’s exactly right I think if you look at the stock repurchases after we completed the 2007 buyback that’s more inline in what you'd expect from us which is 500,750 is more than normal year for us than buying back $350 million in two years. Now from a capital perspective on revolvers that did expire last September, we have not renewed it yet we are looking at options as to whether now we don’t have any immediate need for the capital so we are taking our time and making sure that we do the right thing with the revolver. With respect to the convertible debt as you mentioned, it is puttable to the back and its puttable to us in 2011, we currently have substantial cash on hand and cash to be generated that we certainly conserve as that if we let (inaudible) course but we are looking at opportunities, we have mentioned this in the last couple of quarters that there are tax advantages for us to refinance the convert during 2010 we are able to differ some of the taxes on that if you take out the existing convertible with the new convert so, we are looking at different options, the (inaudible) of this business, it’s a very strong capital base as we are, so we do have many options to look at different capital structures and the timing once we put them in.
Unidentified Analyst: Okay, that being said, if acquisition multiples that you are looking at are higher than the multiples overstock that we are willing to hold off on acquisition opportunities and repurchase your own stock, can you help us understand that?
Peter Kalan: Our goal is to do accretive transactions and that is our primary goal, but depended upon what the aspects of the transaction may be, there could be situations we could consider doing something that would be slightly dilutive on the front end but that we could quickly drive to accretion but those are two broad ranges and very conceptual at this point, but we have to keep our mind joking, because we have got a business that we think can be added to and today we don't always like our valuation metrics that we have for the strength of this underlying business that you outlined earlier, and so we'll look at things that can help, optimize those valuation metrics. And at the same time if we can't get performance through that and we continue to have the strengthen in the balance sheet. We've shown in the past our willingness to return those money's to the shareholders through stock repurchases, and that's something that we'll continue to keep as an option and a priority for us, [perhaps] another chance to grow the business from an acquisition perspective.
Operator: Thank you, and Mr. Kalan, I show no further questions at this time. Please continue.
Peter Kalan: All right, thank you, I just wanted to stress to everybody again we're very proud of what we've accomplished in 2009, we like our positioning for 2010 and we are excited for the next four quarters, we'll come back and show the type of plans that we have in executing on those plan, so thank you for your support and we look forward to future reporting that we have in the coming quarters. Bye.
Operator: Ladies and Gentlemen, this concludes the CSG Systems fourth quarter conference call. You may now disconnect. Thank you for using ACG conferencing.